Operator: Good day, and thank you for standing by. Welcome to the MaxCyte Third Quarter Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, [ Eric Abdal ], Investor Relations. Please go ahead, sir.
Unknown Executive: Good afternoon, everyone. Thank you for participating in today's conference call. Joining me on the call from MaxCyte, we have Maher Masoud, President and Chief Executive Officer; and Douglas Swirsky, Chief Financial Officer. Earlier today, MaxCyte released financial results for the third quarter ended September 30, 2025. A copy of the press release is available on the company's website. Before we begin, I need to read the following statement. Statements or comments made during this call may be forward-looking statements within the meanings of federal securities laws. Any statements contained in this call that relate to expectations or predictions of future events, results or performance are forward-looking statements. Actual results may differ materially from those expressed or implied in any forward-looking statements due to a variety of factors, which are discussed in detail in our SEC filings. Except as required by applicable law, the company has no obligation to publicly update any forward-looking statements, whether because of new information, future events or otherwise. And with that, I will turn the call over to Maher.
Maher Masoud: Thank you, [ Eric ]. Good afternoon, everyone, and thank you for joining MaxCyte's Third Quarter 2025 Earnings Call. Today, I want to briefly highlight our financial performance before diving into the future we are building at MaxCyte. Consistent with our preliminary financials announced last week, MaxCyte reported $6.8 million of total revenue in the third quarter, which included $6.4 million of core revenue and $0.4 million of SPL program-related revenue. While the third quarter was a bit light due to timing of instrument orders, revenue was in line with our expectations and previous guidance, with the second half of the year weighted more towards the fourth quarter. We recently signed a new strategic platform license with Moonlight Bio, bringing the total number of signed SPLs this year to 4, in line with our guidance for a number of new SPLs for the year. On the services side, SeQure DX is fully integrated, and we are excited by the market validation of the technology and long-term opportunity. As covered in our previous earnings call, the operating environment remains challenging. We continue to believe in the curative potential of our customers' therapies and the long-term commercial viability of our SPLs, but we understand that the funding environment for ex vivo therapies has remained depressed longer than anticipated and the commercial adoption has been slower than expected despite our belief in their long-term potential. While we will discuss the impact of these events, I'd like to first discuss the long-term value of our SPL partnerships, which we believe is increasing. Ensuring we capture the value of those agreements drives many of the decisions we make about our business. When thinking of our SPLs, 14 of our SPL customers have a total of 18 active programs in the clinic. Five of these current 18 clinical programs are anticipated to enter pivotal studies in the next 6 to 18 months, programs run by CRISPR, Wugen, Imugene, Caribou and one undisclosed SPL. We believe these programs have the potential to launch commercially in 2027 and 2028 and can help shape the future of cell and gene therapy. This past Monday, Caribou announced positive Phase I data for the allogeneic CAR-T programs for lymphoma and multiple myeloma, on par with autologous CAR-T therapies and with a safety profile that supports outpatient administration. It is exciting to see our second wave of SPL programs, which are the next generation of cell and gene therapies, advance pivotal studies and potential BLA submissions. Our balance of SPL clients continues to get stronger as we sign new licenses. As a reminder, in the third quarter, we signed 2 new SPLs, Adicet Bio, who is working to develop allogeneic gamma delta T cell therapies for cancer and autoimmune diseases; and Anocca AB, a T cell immunotherapy company developing a deep pipeline of T cell receptor engineered therapies. Recently, both completed financing rounds to fund the advancement of their therapies following Adicet's positive preliminary Phase I data and Anocca AB's preclinical data for their lead T-cell receptor therapy. We are encouraged by this financing activity, which highlights investor interest in the space and allows for funding through key milestones for these important customers. We are also excited to highlight the most recent SPL we announced in October, Moonlight Bio, where MaxCyte will support the scalable development and manufacturing of its T cell therapy pipeline. Moonlight Bio was our fourth SPL signed this year, bringing our total number of signed SPLs to 32. Despite the continuation of a difficult operating environment, we see our consistent additions of new SPLs as a testament of the strength of the Expert platform. We also continue to increase the programs we work with at the top of the funnel, now supporting 20 programs in preclinical development with a launch potential in 2032 and beyond. The opportunity from our current SPL base remains very large with MaxCyte well positioned to participate in the economics of successful and unsuccessful programs. I also want to take a moment and highlight the breadth of indications we are supporting these SPLs and why our licensing model can provide significant growth in the years to come. Our business model has positioned us to build franchises across disease states. For example, we are supporting 4 programs for B-cell malignancies; 8 clinical programs for blood cancers; multiple programs for autoimmune diseases such as lupus, vasculitis and type 1 diabetes; as well as 5 late-stage programs for solid tumors. While we know individual programs have clinical or commercial risk, we are confident that the multiple shots on goal that we have on the same indication and the multiple indications we have in our portfolio provide a high probability for material commercial revenues. Balancing a belief in the long-term potential of our SPLs and the short-term challenges in our end market, we made the difficult decision to engage in a restructuring initiative, which included a 34% global workforce reduction, bringing MaxCyte's total full-time employee headcount to 89 today compared to 133 as of January 31, 2025, after the SeQure DX acquisition. I undertook this restructuring to maximize the cash available to deploy on organic and inorganic investment opportunities and ensure our operating spend is aligned with the current environment. As part of the cost reduction initiative, we reorganized the company and removed layers of management in certain areas to ensure a more efficient and entrepreneurial environment that will continue to enable growth. To put in perspective the size of our organization and why our ability to grow has not been affected by the restructuring. Today, we have 89 employees compared to the 51 employees in January 2020 when we began to scale the organization for the future growth of our end market. We anticipate this initiative will result in $17 million to $19 million of annualized savings with $13.6 million of annualized savings previously disclosed from headcount reductions, which will begin to be realized in the fourth quarter of 2025, but will be more impactful to the 2026 P&L. These savings reflect a detailed review of non-headcount-related spending and have identified $4 million to $5 million of incremental cost reductions on an annualized basis, which we expect to realize in 2026. In R&D, our reductions primarily relate to reducing layers of management and natural expense reduction that we expect as the new product we are developing moves out of R&D and into commercialization. We still expect to invest heavily in new technology, which we intend to do via both organic and inorganic means. We have optimized the function to reduce the spending in certain areas that we believe no longer aligns with the market. It is important to note that we have maintained the structure of our field application scientists team, which provides much of the innovation of the company via collaborations with our SPL customers. In G&A, our headcount reductions related to consolidating management of functions and reducing layers. Non-headcount-related spending will decrease from a reduction of public company expenses that were associated with our AIM listing as well as a reduction of vendor spending driven by our detailed review of finding lower cost alternatives. It is important to note that these reductions are not inclusive of the $900,000 in transaction expenses related to SeQure DX, which we also expect not to recur. Lastly, our sales and marketing reductions primarily related to marketing, where we will look to be more diligent in our spend. We will continue to build our brand in the field with our world-class FAS team and sales team and the superior results of our platform in the hands of our customers. My main priority of this restructuring was to position MaxCyte to remain nimble, operate with accountability and grow our offerings organically and inorganically even as we face short-term headwinds from some of our key customers who have rationalized programs this year, which will continue to create a drag on our growth through the first half of next year. This will allow the organization to invest for the future and operate efficiently for an SPL pipeline that remains strong and diversified. Regarding our desire, capacity and willingness to invest, these cost savings will result in a cash burn of roughly $10 million to $15 million in 2026. We also expect our operating cash burn to improve further in the coming years as our customers progress through their clinical programs. As mentioned previously, we continue to see a large opportunity to grow our portfolio and consolidate the tool space in advanced therapies by means of organic and inorganic investment. We have already invested in a new product discussed during our second quarter earnings call. This product is a line extension to our leading Expert electroporation platforms, and we are working with beta users that will continue to validate the platform before a broader commercial launch in 2026 that will contribute to revenue. While this product is moving from the investment to commercialization phase, we will continue to look for additional opportunities to expand our Expert franchise. To summarize, I firmly believe in the future of cell and gene therapy and the role that MaxCyte plays in it. We are transforming our company into an end-to-end platform with multiple products that can support cell and gene therapy customers at different stages in their development with an appropriate cost structure to reach profitability. Before turning the call over to Doug to discuss our financial results, I want to thank Doug for his support over the years. As we announced today, Doug will transition from the role of CFO -- of MaxCyte's CFO in the first half of 2026, and we have initiated a search process to identify a successor. I would like to truly thank Doug for his hard work and contributions to MaxCyte. Doug and I have decided that now is the right time for both him and the company to undertake this transition. I appreciate his willingness to stay with the company through the transition period and act as an adviser to the company in the future. We do not anticipate any disruptions to operations or financial results during this period. With that, I will now turn the call over to Doug to discuss our financial results. Doug?
Douglas Swirsky: Thank you, Maher. I greatly enjoyed being a part of MaxCyte, and I look forward to working together on a smooth transition during the first part of 2026. The company is in a better position financially than it was when I arrived, and I believe MaxCyte's future is very bright. I am confident in Maher's leadership, the broader team and MaxCyte's long-term potential, but have decided to take this opportunity to move on to a new phase in my career and personal life. Turning to our financials. Total revenue in the third quarter of 2025 was $6.8 million compared to $8.2 million in the third quarter of 2024. We reported Core revenue of $6.4 million compared to $8.1 million in the comparable prior year quarter. Within Core revenue, Instrument revenue was $1.4 million compared to $1.8 million in the third quarter of 2024. License revenue was $1.8 million compared to $2.5 million in the third quarter of 2024 and Processing Assembly or PA revenue was $2.6 million compared to $3.4 million in the third quarter of 2024. Instrument license and PA revenue were adversely impacted by a large customer and clinical customers consolidating programs driven by the continuation of a challenging operating environment. 53% of our Core revenue is derived from SPL customers in the third quarter of 2025, which compares to 53% in the comparable prior year quarter. Turning to our SPLs. Program-related revenue in the third quarter was $0.4 million, including both clinical milestones and revenue -- sorry, clinical milestone revenue and CASGEVY commercial royalty revenue, we remain excited by the opportunity of CASGEVY and the life-altering impact it delivers to patients. During Vertex's third quarter earnings call, they highlighted that CASGEVY delivered approximately $17 million in revenue in the quarter. There are now 165 people globally who have completed cell collection, which included 50 people in the third quarter. So far, a total of 39 patients have received their infusions of CASGEVY, which included 10 patients in the third quarter. We are excited by the momentum in patient cell collections as Vertex highlighted that the number of patients per day having cells collected has doubled in 2025 compared to 2024. Turning to our cell and gene therapy services. We have seen progress in the business this year and continue to believe that SeQure assays will become part of the industry standard for off-target risk assessments for both in vivo and ex vivo gene editing. Total SeQure DX assay service revenue was roughly $248,000 during the quarter. We know that adoption of SeQure Services and Technology will take time, but we remain committed to the platform as we continue to receive feedback from customers and regulators regarding the value of the technology. Moving down the P&L. Gross margin was 77% in the third quarter of 2025 compared to 76% in the third quarter of the prior year. Excluding inventory provisions and SPL program-related revenue, non-GAAP adjusted gross margin was 81% in the third quarter of 2025 compared to non-GAAP adjusted gross margin of 85% in the third quarter of 2024. Total operating expenses for the third quarter of 2025 were $19.4 million compared to $20.3 million in the third quarter of 2024. Total operating expenses included approximately $3.1 million of restructuring charges related to our reduction in force. Let me provide further details on the impact our recent cost reductions will have on full year operating expenses. Of the $17 million to $19 million in total cash savings we expect on a full year basis, approximately $5.5 million is being reduced from G&A, $7 million from R&D and $5 million from sales and marketing and $0.5 million from capital expenditures. As Maher noted above, these estimates do not include onetime expenses related to the SeQure acquisition and onetime severance costs. We finished the third quarter with combined total cash, equivalents and investments of $158 million and no debt. The decrease in cash, cash equivalents and investments since the beginning of the year included approximately $7 million of purchase transaction and onetime costs associated with the acquisition of SeQure DX. Continuing to our 2025 guidance, we are reiterating our outlook and expect core revenue of flat to a 10% decline compared to 2024, inclusive of revenue from SeQure DX. Additionally, we continue to expect SPL program-related revenue to be approximately $5 million in 2025, which includes both expected revenue from pre-commercial and commercial milestones and sales-based royalties. We would like to note that our SPL program-related revenue outlook is a risk-adjusted forecast that is achievable under a variety of potential outcomes across our SPLs and the planned clinical progress and commercial success of our customers. Lastly, as included in our preliminary announcement last week, we now expect to end 2025 with between $152 million and $155 million in cash equivalents and investments on our balance sheet. Our revised forecast here reflects near-term cash utilization from the restructuring, which will lead to lower costs and cash use in the future. Now I'll turn the call back over to Maher.
Maher Masoud: Thank you, Doug. I want to end this by thanking every employee at MaxCyte for their dedication to driving our mission forward. I look forward to continuing to provide high-quality offerings to our customers and driving future growth. With that, I will turn the call back over to the operator for the Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Matt Larew with William Blair.
Matthew Larew: First question on the environment that you and your customers are dealing with. Obviously, it's been, as you alluded to, Maher, kind of tougher for longer than many expected. But it does seem like maybe in the last few months here, both kind of biotech funding has improved. There's been some M&A in the space. A number of your peers have cited at least some stabilization perhaps from biotech. I would just be curious for your perspective on kind of the environment and obviously acknowledging that this isn't the first time in the last couple of years that we've had a day or a week or a month where maybe we felt better?
Maher Masoud: Yes, exactly, Matt. Great question. You're right. I mean, obviously, it's now been a couple of years where it's ourselves and many of our peers in our industries are saying that they're hoping this is the bottom. So you can't take 1 or 2 months as an indicator. However, on our business, we do see stabilization. We have been impacted by a few key customers this year, which I mentioned, I believe will have an impact in the first half of next year. But we're starting to see that some of the concerns that we had in the past from some customers related to NIH funding related to some changes at the FDA having an impact on capital expenditure decisions. That seems to be stabilizing, Matt. We're hopeful that, that continues going into next year. And we're building the base of the company based on that hope. But again, I think let's see how this plays out over the next month and into next year.
Douglas Swirsky: Yes. We've seen some encouraging financings. I think overall sentiment and spend discipline across the biotech sector remain a bit cautious. So we're planning based on the assumption that the environment stays roughly where it is today, at least through the first half of next year. But obviously, we stand ready, willing and capable of taking advantage of an improvement in that environment.
Matthew Larew: Okay. Fair enough. And then I guess the second one is a bit of an environment question, too. You referenced some changes to FDA. And again, if I think kind of year-to-date, there's been some wins and maybe some non-wins for new modalities. What's your assessment, I guess, there were some leadership changes announced again last night of your customers, I guess, confidence in working with FDA and maybe how that combined with the funding environment affects willingness to initiate trials or move on to next phases?
Maher Masoud: Sure, absolutely. I mean the one thing that's been -- that we've noticed is we haven't seen any customer indicate because of the FDA changes or because of the funding environment that there's going to be a slowdown in the review process or that they have any programs in developing might be delayed. None of that has happened now. We haven't heard that from any customer. Even in speaking with other CEOs across the industry, nobody is seeing that, which is a good sign, and we don't anticipate that either. I think just some of the changes had more to do with the funding environment and really just have to do with purchases of equipment that had hesitation there. Nothing to do, and we haven't seen anything or heard anything that would affect time lines of development or approval -- or potential approval processes. We're not seeing that at all, Matt.
Matthew Larew: Okay. Fair enough. And then I guess just thinking about next year, again, it sounds like you have the key customer overhang, but SeQure will have been in the portfolio for about a year. You have a new platform coming. I guess, what's your expectation in terms of the SeQure ramp into next year? I think maybe it's been a little slower this year. And what kind of impact the new platform can have as well? And that would be it for me.
Maher Masoud: Sure. No, great question. Let me take both of them separately. So on the secure side, obviously, this year, we need to build them up for what I see as a great potential for them going to next year and the future years. The ramp has been -- so the funnel that is building up for them going to next year is much bigger than what we had when we acquired them and bigger than what it was going to be for this year. So we see a much bigger bookings and a bigger funnel for next year. But we really have to take a step back and ensure that they have -- that they are positioned to continue to expand upon their best-in-class assays, and that's what we did this year. So -- but when we see how many customers they have, how many customers we're speaking with, the interest from customers, this is across the space, whether it's ex vivo, in vivo, it's broad and it's growing, and I feel great about that. I feel great about the decisions we made at SeQure this year to ensure they can grow into next year and really execute on the current customer projects that are coming in. So again, I feel great about what we're doing at SeQure and the potential for them over the years. On the new product launch, we're hopeful that we can -- it's in the hands of beta users right now. It really gives us a mainstay to get into a broader base of users on the research side. And again, it plays into what we've done with SeQure DX, gives us a breadth of customers that we can speak to. We really have a mainstay in the clinical and commercial customers, and this allows us to work with them even a little bit earlier in the process to ensure that we have the ability to expand upon the Expert platform. Our launch is geared for next year -- early next year, the official commercial launch. And I'm really hopeful that can begin to provide us additional growth in addition to the growth that we're beginning to see right now from that -- from the customer base outside of those few customers this year that has had an effect on us that will have an effect going into the first half of next year, Matt.
Operator: Our next question will come from the line of Matt Hewitt with Craig-Hallum Capital Group.
Matthew Hewitt: Maybe to kind of get back to the FDA a little bit. I think one of the things -- with the changing of the administration with some of the leadership at the FDA, one of the things that they seem to be pounding on is that they want to see cures versus treatments. And I'm just curious how those comments and how the statements that they've put out over the past couple of quarters, whether or not you're seeing that impact some of the decisions with your SPL customers and whether that's helping drive some incremental decisions that maybe fall in your lap or any other color you can provide there?
Maher Masoud: Yes. Good question, Matt. I mean, obviously, that is one of the mainstays they've kind of the tabled from the beginning of the new FDA head and the CBER head. And now we have a CDER head, which is just ensuring that we're focusing on curative therapies. And that's really the space we're in, right? Cell and gene therapy is that. Unlike in the past, I've said it before, this is the future of medicine. I think it does go to the fact -- it probably does help that some of the funding some of our customers have been able to raise in the last few months goes to that as well. It shows a belief in these therapies. It shows a belief in the decisions that some of our customers are making to take therapies into the clinic, knowing that there's an FDA that support these therapies, knowing there's a CBER head that support these therapies. I think it does come to that decision-making for them. And it goes to the decision-making as to why we're continuing to sign more SPLs. We're signing 3 to 5 every year. And when we see that for the foreseeable future. I think those kind of comments bode very well for our customers and their beliefs in the investments they can make, Matt.
Matthew Hewitt: That's great. And then maybe as far as the SPL pipeline is concerned, obviously, another strong year. This is a few in a row where you guys have met or exceeded your target for the year. And I'm just curious what that funnel looks like and whether that continues to build and sets the stage for another strong year in '26?
Maher Masoud: Yes. Thank you, Matt. Let me answer that. I mean I said it before, I see 3 to 5 SPLs next year and for the foreseeable future as very doable and something we can -- we don't officially guide here, but it's something I can stand by. The funnel is there. It is strong and getting stronger, obviously, even in a market that has rationalized programs. We still feel confident in what we do. I want to take a step back for one second and just remind everyone, we work with these customers far earlier in the process, far before they signed an SPL with us. So it's because of our FAS team, because of our sales team, because of the internal team here where we develop applications for customers. We work with them and we're working with them now where they're 2 years away from signing an SPL. And because of that work and dedication that really our employees do here, our scientists do, I still feel confident we can continue to sign 3 to 5 next year and for the foreseeable future.
Operator: Our next question comes from the line of Mark Massaro with BTIG.
Vidyun Bais: This is Vidyun, on for Mark. So I think in the prepared remarks, you alluded to reinvesting from the recent workforce reduction. Could you just remind us on your priorities around M&A? And just anything you can share about the stage or number of conversations ongoing here as it relates to M&A?
Maher Masoud: Absolutely. Thank you, Vidyun, and good to hear from you again. Part of the restructuring was obviously to get us into the profitability phase a lot faster than where we are now, where we were in the past. But what it also does for us, it gives us that breathing room to do what we've been doing for the past 2 years really since I took over as CEO, which is M&A is a focus of ours. But when we're looking at a broad breadth of companies in the cell and gene therapy space that we believe works into the end-to-end platform that we're building here. And -- but we're doing it in a very disciplined way, Vidyun, right? I mean, obviously, we did SeQure DX, and it's a great acquisition that we acquired with assets that can grow into the future and really become a bedrock of how companies do off-target assessments when they're providing their funds to the FDA and EMA and other agencies. And we're continuing to look at these type of potential deals where we believe we can become that company that consolidates the space and provides an offering to our SPL customers and even non-SPL customers, where they can come to us for all the scientific expertise and the products in what I call one-stop shop. But we're doing it in a very disciplined way, where we're ensuring that what we're looking at is best-in-class, does not impact our financial profile, does not impact our financial health that we're continuing to improve over this past year, as I indicated today earlier in the call.
Vidyun Bais: Perfect. Just one quick one for text for me. So I understand that you can't comment on their business. I think they did mention during their call significant growth in '26 for CASGEVY. Just any more color you could share on how we should think about royalty contribution from CASGEVY or if you might start breaking out that revenue looking to '26?
Maher Masoud: Yes. So let me start, and then I'll have Doug also indicate the breakout in '26. Very excited about what Vertex said on the call last week. I mean, obviously, Doug mentioned it as well, 165 patient cells collected from now. They dosed 39. I mean you can do the math, that's 120-some left. But what's even more exciting is that they've done everything right for this product and for these patients. They have one of the same 5 FDC centers. They now are collecting cells from twice as many patients on a daily basis as they did last year. And in fact, that ramp has been steadily increasing on a quarter-by-quarter basis. Standing here, the reason why it should decrease. So that bodes very well. They also reaffirmed that they see $100 million plus in sales of CASGEVY this year. That bodes very well for next year. It's what the patient community needs. They've done a great job. We're here to support them in any way we can to ensure that next year is as successful as it can be. we always remain excited by CASGEVY. Nothing has changed. I think they've done everything right. We're seeing what's happening now. And then I'll let Doug allude to how -- what we think about in terms of breaking out the revenues for next year.
Douglas Swirsky: Obviously, we're not going to guide for anything related to 2026 right now specifically. Obviously, CASGEVY remains an important long-term opportunity for us. We -- as we've said, we're encouraged by the recent acceleration in cell collection from patients and dosing. And we think that it's going to translate into additional treatments. We're going to see that corresponding royalty contribution grow. We really view CASGEVY as the beginning of a growing stream of commercial royalties as more SPL partners advance their programs into that next wave that we've talked about over and over again, where we've got multiple programs that could come online as commercial stage customers starting in 2027.
Operator: Our next question comes from the line of Hannah Raiford with Stephens Inc.
Hannah Hefley: You mentioned that there was some revenue that got pushed from 3Q into 4Q during the quarter. And I was just wondering if you could elaborate on this. How big of an impact do you think you saw there? And was this just normal timing part of the business? Or was there any part of this that was customers kind of pushing out orders due to continued hesitancy around the macro?
Douglas Swirsky: Yes. So I mean, obviously, we don't guide quarter-to-quarter. We -- our outlook for the year has not changed in terms of where we think we're going to come out on Core revenue and SPL program-related revenue. There's -- it's always tough to call it revenue completed in from one quarter to the next. I think this is not just -- it doesn't take much when you're talking about the magnitude. We said on the last call that we would have a slight weight towards Q4 for the remaining revenue to be required to hit the goals that we established here and the guidance that we left you with on the last call. So I think it's really just a small number of items that sort of moved in. And you take the revenue from SeQure, those are -- we recognize revenue when the final report is delivered to the customer. And so you be at various stages of generating that data and information to provide high-end and actionable piece of information for our customers, and that's where we're going to be able to recognize that revenue. It just may not -- certainly, we'd like to get it into the quarter, but it bleeds into next quarter. So it's not just one item. It's a handful of items. I don't think we're particularly depressed versus what we expected because we always had assumed Q4 would be stronger. But admittedly, we would -- we had hoped more would have come in this quarter. So it's a slight disappointment for us, but we remain on track because it really is a timing difference. We don't view this as things that we thought would happen that are not happening. It's things that we thought would happen in September that happened in October, and we can say that because we're in November.
Hannah Hefley: Okay. Great. That's helpful. And then I think you've kind of mentioned that there are other elements of growth or positives that you're seeing outside of some of these customers rationalizing their pipelines. Are there any specific like positive KPIs that you would want to point out that's kind of giving you confidence that things are recovering outside some of these customers?
Maher Masoud: Sure. Absolutely, Hannah. So good question. So a few things. Obviously, we had a few key customers this year that really affected us for the year and affected us into the third quarter, and we think it's going to affect us into first half of next year. But looking outside even the SPL customers, we are seeing stabilization with our non-SPL core, which is a testament to the number of instruments that we're selling, number of PAs that we're using. That gives me confidence that outside of a few key customers here and there, which is part of our business model. We've always known there was one customer here, one customer there and that happens at times. But we're seeing a stabilization in our non-SPL business in terms of the instruments we're selling, the PAs that we're selling, the pull-through of the PAs on a daily basis. We're seeing that stabilization. We're also seeing good growth in Asia as well. I mean we've invested in Asia from a very smart way, a very, I would say, tactical way to grow into Asia. We're seeing that growth in Asia as well year-over-year, and it's continuing to grow. Obviously, we all know where the cell and gene therapy space is and the investments in China and other parts of Asia have been growing year-over-year. And we took advantage of that, and we are expanding into that region as well, doing it in a very, I'd say, measured way. And that gives me confidence that we continue to do that going into next year as well. And the products that we're launching next year, right, gives us more breadth with the current customers and future customers. What we're seeing with SeQure DX, some of the customers that we're talking to, they're coming to us for really things that only SeQure DX can do and no one else can do for them. We're seeing the bookings. We're seeing the size of these potential contracts that they want to sign with SeQure DX gives me a lot of encouragement that we can begin to get back to that growth in the second half of next year.
Operator: Our next question will come from the line of Brendan Smith with TD Cowen.
Brendan Smith: I wanted to just piggyback a little bit on some of the earlier commentary here. I know there's a lot to kind of sift through as you're thinking about next year. I guess where you all stand now and kind of given the cadence of SPLs into this year, and I know you're still talking about fairly steady into next year. I guess how are you seeing like as the most important drivers of -- that are kind of giving you confidence in hitting that cadence into next year just relative to what all has kind of transpired this year? And then maybe on kind of the more financial side of the conversation, if given everything that's kind of happened this year as SeQure is kind of getting integrated fully, if there's just any shift in how you all are thinking about kind of the longer-term gross margin profile with everything integrated?
Maher Masoud: Sure. Brendan, let me take the first one. And I'm assuming you mean by the cadence, you mean about the 3 to 5 a year that we're signing. I just want to clarify, is that your question?
Brendan Smith: Yes. Yes. And just what's kind of giving you -- what are the most important kind of supporting pillars of that, that's kind of giving you confidence coming out of this year into next year that -- that's still going to kind of continue to persist that way?
Maher Masoud: Absolutely. Great question. So this is why I say I feel confident. We're working with these customers already, where we feel confident in next year, they'll be signing these SPLs with us. Take a step back, these are not people that we go to and just out of the blue speak with them. We've been working with some of these customers now for at least 12 months, some of them 24 months. And we have a line of sight to see who we're working with right now that we feel we can sign in that 3 to 5 range next year. It's very clear we're working with. We're supporting them in their labs. Our sales reps are speaking with them. Our FASs are there on site working with them to optimize their processes. That gives me the confidence that these customers that we're working with this year, and we've been working with even a little bit longer than that, become SPL customers next year. And Doug, I'll let you take the second one.
Douglas Swirsky: No. Look, in terms of the long-term trend for margins here, obviously, we still are very happy with our margins. They are not as lofty as they were during the peak. The things that are going to get them back to those higher percentages you've seen in the past will be increased sales of instruments, which will be able to spread those costs over more units. And then also what's important here to look at is that product mix, right? So I think the higher end ticket, the more expensive instruments in our platform have been harder to sell in this operating environment. And so the product mix has shifted towards the less expensive instruments, although we still have good margins on those. But I think over time, we can get back towards those higher margins as the market gets stronger. We experience growth as that product mix shifts. And so again, very comfortable with where the margins are now. I think they'll be stable as we look ahead in the short term. And I think in the medium and long term, we can return to even higher levels.
Operator: [Operator Instructions] And our next question comes from the line of Dan Arias with Stifel.
Rohan Walcott: This is Rohan, on for Dan. Sorry to keep on the SPL piece here, but maybe just a quick one, 4 SPLs under your belt. Could you guys, I guess, give a little bit more depth on how business development conversations advanced during the quarter, maybe how the funnel is shaping up? Just a little bit more on that, if possible, please. I know I'm kind of beating a dead horse here, but I just want to hear a little bit more detail. Appreciate it.
Maher Masoud: Absolutely. So just to clarify, what you mean is in terms of just the conversations with the current customers who could become SPL customers, is that what you mean?
Rohan Walcott: Yes, sir.
Maher Masoud: Yes, exactly. So okay, let me give a bit more clarity there. We're working with these customers this year because we know where they are in the preclinical programs and where their anticipation to file their INDs. Obviously, that can always shift by a few months here and there, but we're working with them right now, knowing that where they are in the time line, they're hoping to file INDs in the coming 6 to 12 months. So that's how we know that our conversations with them give us that confidence that we're going to sign an SPL with them next year and that's what gives us that confidence in that 3 to 5. That's part of the funnel that we're building. So it's not -- it's a case of we're not just helping them optimize their processes. We have conversations with them because we need to. We need to make sure that we're supporting them to be ready for their IND filing. They can reference our Master File and they file their IND as well. It's a Master File we referenced over 65 clinical trials, I think maybe even 70 now. So that conversation is far more intimate than just working the labs with them optimizing their process. It's also ensuring that we work with them hand-in-hand where they're ready for their IND filing. And by the time they sign their IND, they file the R&D, they've signed an SPL with us. So that's what we're doing right now. That's what we've done throughout the year, and that gives me confidence and us confidence that we're going to sign SPLs next year in that 3 to 5 range. I hope that gives you clarity as to how...
Operator: And I'm showing no further questions at this time. And I would like to hand the conference back over to Maher Masoud for closing remarks.
Maher Masoud: Yes. Thank you, and thank you, everyone, for joining us on today's call. Obviously, third quarter is a bit light, but we remain very confident in the rest of the year and going into next year and the future that we're building here. I look forward to speaking to you again on the next quarter earnings call.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect. Everyone, have a great day.